Operator: Welcome to the Metabolix’s Third Quarter 2015 Conference Call. [Operator Instructions]. I will now turn the call over to Ms. Lynne Brum, Metabolix’s VP of Marketing and Corporate Communications. Please proceed Ms. Brum.
Lynne Brum: Thank you, Jessie. Good afternoon, everyone, and welcome to the Metabolix’s third quarter 2015 conference call. Earlier this afternoon, we issued our third quarter 2015 news release, which can be found in the Investor Relations section of metabolix.com. In addition, slides accompanying the presentation today are available on Events & Presentations page in the IR section of our website. I like to mention today that we typically use our website, press releases, SEC filings, calls and webcast to announce material information. In addition some of the material we post on our social media sites could be deemed material information and we encourage investors to periodically review the information we post on social media. Please turn to slide two. Please note that as part of our discussion today, management will be making forward-looking statements. These statements are not guarantees of future performance and therefore you should not place undue reliance upon them. Investors are also cautioned that statements that are not strictly historical constitute forward-looking statements. Such forward-looking statements are subject to a number of risks and uncertainties that could cause the actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Metabolix’s filings with the Securities and Exchange Commission, including the earnings release filed this afternoon, in the company’s most recent 10-K. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. Now, we’ll turn to the agenda for our call today, Joe Shaulson, our CEO will provide an update on our strategic direction and then talk about highlights for third quarter. Johan van Walsem, our COO will provide an update on our commercial activities. Then Joe will give some financial items for the quarter and provide a recap of our business milestones. For Q&A today we’ll take questions from the analyst’s community, and then we’ll address a few questions submitted in advance by shareholders. Joining us when we open the call to Q&A will be all the peoples, cofounder and CFO and Chuck Haaser, our Chief Accounting Officer. With that, I’d like to turn the call over to Joe Shaulson. Joe?
Joe Shaulson: Thanks, Lynne. Hello everyone and thanks for joining us today. Let's get started on slide 3 with a review of the path Metabolix has taken since our founding in 1992. In the early years our key milestones were building our core PHA bioscience capability and IP portfolio as well as developing economical production technology for PHA a new bio material. Our entry into the commodity phase was driven by the formation of a joint venture with ADM and the belief that government regulations and consumer preferences would allow commercialization of PHA a bio based, biodegradable commodity product to replace petroleum based plastics like polyethylene and polypropylene. During this phase Metabolix worked closely with ADM to scale up PHA manufacturing to run at world industrial scale. Unfortunately the commodity market did not materialize as expected and the venture with ADM was ultimately unwound. Based on a key innovation our development of a new amorphous rubbery form of PHA with a fundamentally different performance profile. Metabolix reassessed the landscape and decided to refocus on a specialty strategy. We started to think of are biopolymers not as bulk resin but as performance additives and modifiers for other materials or as a specialty material where functional biodegradability is a key application requirement. In the course of making this pivot to the specialties phase we took measures to reshape the company and created a new model for our approach to commercial development. With these measures complete I think we can look back at 2015 as the year of the specialties pivot. So let's turn to slide 4, we’re starting to look forward into 2016 and think about the longer term vision for Metabolix and how it will become a successful commercial scale specialty biopolymers company. In 2015 we executed well against our commercial plan, we've used existing inventory and invested in an expansion of pilot capacity to support commercial development with customers in key specialty application and we believe this work confirms that our pivot to specialty was the right approach. So moving forward we will turn our attention to taking our specialties business model to commercial scale. In our presentation today, we will be talking about our work with customers in PVC and PLA a modification, functional biodegradation and paper coating. We are supporting this work with legacy inventory and new Mirel Amorphous PHA rubber produced on our expanded pilot line. We have completed the EPA regulatory filing process for our new amorphous PHA production and are now clear to sell product for use in commercial applications. We are ramping up amorphous PHA production and expect to sell the bulk of the material we produce to customers for use in commercial applications. We will also retain a stream of amorphous PHA to continue our market development work. And based on our progress to date we are accelerating our efforts to secure our first commercial production line probably in the range of 10 kilo tons or about 22 million pounds. Operating at the 10 kiloton level will provide a stepping stone to a specialty growth phase where we would expect to see our business grow based on additional translation within and across customers, expansion to adjacent applications spaces, geographic expansion and new applications driven by new higher performing biopolymers. We would expect this growth to be supported with additional production units probably in the range of 20 kilotons each. With those comments on the longer term vision let's shift back to the present and I'll highlight some of our third quarter accomplishments. Please turn to slide 5 and let's touch first on financing and our capital structure. Access to capital is essential as our specialty biopolymers business moves from the pivot phase to commercial scale in October. We announced a $20 million common stock purchase agreement with Aspire Capital, Chicago based investor with the fundamental investment approach. This facility provides additional flexibility in our capital structure and a new tool for accessing capital over the next 30 months. I will come back to this later in the presentation. Recall in June we raised $15 million in a private placement of equity securities. With these two items completed we ended the quarter with approximately 17.9 million in cash and currently have $20 million of availability under the Aspire Capital facility. Now turning to biopolymer production. In 2015 we have been implementing a plan to significantly increase pilot production capacity for our morale Mirel Amorphous PHA biopolymer. During third quarter we began ramping up production with multiple shipments of fermentation broth from our new U.S. based supplier to our biopolymers recovery facility in South Carolina. We expect the ramp up to continue through the balance of the year and as mentioned earlier we anticipate operating our pilot plant at full capacity in 2016. While we expect to sell the bulk of this material to customers for commercial applications we also plan to maintain a stream of supply for continued market development with a view to building the base for commercial scale biopolymer operations. Our commercial development efforts with customers are progressing well and we are actively engaged in developing manufacturing options for our first tranche of commercial scale production capacity. We will provide additional information as we progress along this path but as noted in our last call our goal here are to leverage existing assets and capabilities where possible and to secure this capacity in a capital efficient way likely with a production partner. In Commercial Development, we continue to advance work on projects across our target application spaces, PVC processing aids in property modifiers, PLA modification, functional biodegradation and barrier coatings for paper. In our prior quarterly calls we've outlined our portfolio of commercial development activities and provided examples of specific projects we are working on with customers. Along the way we've reported initial of commercial sales to several smaller customers and have discussed our progress in development efforts for several larger opportunities. In Q3 we completed more than fifteen customer trials across our target application spaces. From this work we are gaining clarity on near term conversions and confidence in the market potential for Amorphous PHA as a multi-functional performance additives in PVC building materials and as a performance modifier in PLA packaging and non-woven. In addition we recently had a significant commercial conversion in functional biodegradation with Kolar filtration. During third quarter Kolar conducted a demonstration trial of our PHA for a commercial denitrification application. As a result of this work we signed a global exclusive distribution agreement with Kolar for PHA based denitrification pellets in ornamental and hobby aquaria, ornamental ponds, fish hatcheries and commercial aqua farming. We have made encouraging progress on the commercial front so far in 2015. We’re on course to secure additional commercial conversions some with larger scale applications in the final stages of qualifying our materials. We have completed an important strategic pivot to specialties and we are excited to delve into a more commercial scale focus set of priorities for 2016. I will now hand the call over to Johan to take us through some additional details on our commercial activities.
Johan van Walsem : Thank you, Joe. As Joe discussed in 2015 we have achieved good traction with our commercial efforts. Today we have visibility on customer applications and conversions that give us confidence to ramp up power production going into 2016. In addition we will continue to develop the roster of customer applications that will allow us to transition from product manufacturing to our first 10 kiloton of commercial scale manufacturing. Please turn to slide 6, as background let's review our commercial focus areas. PVC, PVC [indiscernible] use polymer but it is brittle and requires 40% to 60% additives to convert it to a useful form. In small amounts PHA act as a process item and performance modifier for PVC. In all value proposition PHA increases productivity and performance while delivering a cost savings. Further in some formulations the use of PHA can also improve the sustainability profile of the product, where increased use of fillers and recycle it can replace version PVC. PLA, PHA compliments the buyer content and [indiscernible] profile of PLAI while delivering significant improvements in processing and mechanical properties such as [indiscernible]. Functional biodegradation applications for PHA leverage its sustainability profile and can also deliver savings by offsetting costs associated with retrieving articles from the environment. With that background please turn to slide 7 where we will describe several customer opportunities. PVC and flooring, our early work with PHA as a performance modifier for PVC lead to projects with customers and flooring applications. We continue to work closely with a major U.S. flooring company who is competing the qualification of our PHA material and a floor backing application that utilizes PVC recycle it. Our PHA is enabling the use of 100% recycled PVC in the formulation by promoting fusion during processing, resulting in a high quality flooring product. In third quarter our Amorphous PHA was used in a successful full scale validation trial on the customer's commercial manufacturing line. We continue to work closely with this customer as they complete the due diligence on specifying PHA into their flooring product. Another U.S. flooring customer in a different vinyl flooring application successfully completed a development project and trial on commercial equipment. We believe there is the potential for these projects to convert to commercial sales based on supply of amorphous PHA from our expanded pilot timed operations. Flexible PVC applications, development work in flooring has accelerated our development in flexible PVC applications more broadly. We think flexible PVC applications represent an exciting market opportunity and we believe amorphous PHA material can be a key [indiscernible] to solve critical industry challenges and open new opportunities for improve products. We are working with customers and wire and cable and in roofing on development projects using PHA as an additive to adjust levels of filler plus the sizes and to recycle it to achieve sustainability and cost benefits while achieving high levels of performance. PVC wood polymer composite in railing systems. Our PHA can provide significant benefits in PVC wood polymer composite systems. At Vinyl Tech w presented data showing that PHA low loading levels for example 2% can increase the use of wood floor in the formulation and significantly increase the mechanical properties of the railing. We’re focused on securing additional customers in this area. PHA modified PLA for non-wovens, PHA has the potential to expand the market for PLA in non-woven applications. We’re working with customers interested in the development of buy based non-woven including compostable wet wipes. PHA Modified PLA film [ph], we continue to be encouraged by interest from major brand owner seeking biobased clear packaging foam. We continue to work with customers on bringing this application forward commercially. Modified PLA thermoform, PHA modified PLA may represent a very attractive material for making thermoform containers, in first quarter we successfully completed the [indiscernible] trial for biobased compostable clear clamshell containers that process well and display the expected properties for carry out food and also for consumer packaging uses. PHA paper coating, we are seeing strong interest for developing PHA in sustainable, repulpable, compostable type of coating applications. PHA is a natural complement to paper both in use and in end of life scenarios. The take away is that we are working with our customers to develop solutions by some PHA visibility on upcoming customer conversions that will be well matched our planned ramp up in pilot production. Please turn to slide 8, as we explore the role of PHA and PVC flooring in more detail. We think our Amorphous PHA has the potential to be a game changer in PVC flooring. These flooring applications include packing materials and flooring and carpet, protective mats and luxury vinyl tiles. Our work is shown as Amorphous PHA access a multi-functional additive in PVC, one of the advantages for flooring where PVC recycle it and fillers are used extensively is that PHA allows high levels to be used by improving the processing and incorporation of these ingredients into the final part. As I mentioned we have customers in the final stages of qualification and we have additional projects starting up. Flooring is an area where the market can develop in several ways. Once we start up with a customer they can expand the use of our PHA to other production lines, to other products and geographies and of course we can at additional customers in similar applications. Let's turn to slide 9, this is a slide from our Viny Tech presentation where we displayed examples of flooring backing using high levels of PVC recycle it. The one on the left does not contain PHA and has very rough texture with several cracks as a result of incomplete fusion. For comparison the one on the right which contains PHA as a process additive exhibits a very smooth finish with very good mechanical properties. Let's move on to slide 10, we have continued to see interest from converters and brand owners in the U.S. and Europe. Looking for new materials to create sustainable packaging materials for food service and consumer products. Trends that may be driving this interes include incentives to divert food twice from a land [indiscernible] based on new regulations as well as a drive from brand owners responding to internal sustainability criteria, consumer preferences and pending regulations. Amorphous PHA is a natural fit for sustainable packaging solutions. Amorphous PHA acts as a modifying toughner for PLA is compatible with other biodegradable polymers such as PBAT and PBS. Earlier this year we became working on customer projects for PHA modified PL foam, in third quarter we worked with the customers to create PHA modified PLA clear some are foam clamshell containers. We also work on trials related to coated paper applications for food service using PHA's coating and as a sealant. We’re also seeing interest in consumer packaging driven by recycling criteria. In this area as well we have the potential to convert customers to commercial sales and to continue to expand the uses for PHA in packaging applications. Please turn to slide 11, the broad biodegradation profile of PHA is one of its most differentiating features as a material as this unique property is becoming understood we are gaining more customers in this area. For example, Impale Technologies [ph] which uses PHA in a rail car wheel lubricating device wanted to convert to a material that with biodegrading soil, NPL [ph] has been a consistent customer and sales are growing as the deployment of the device expands among their custom, further the biodegradable of PHA soil at a ambient temperature has been a compelling design feature for customers making articles for horticultural and agricultural use where it's either costly or impractical to remove a functional plastic article at the end of it's useful life. Earlier this year we signed a technology and commercial alliance with Honeywell for use of PHA in cosmetic and personal care applications providing us with a go to market strategy with an experienced partner. We continue to work together to develop products and for Honeywell to sample them to the established base of customers. Another interesting application is the use of PHN water treatment, for several years we have supplied PHA pallets to custom a serving the hobby aquarium business which has resulted in a steady or albeit small stream of business for us. In the third quarter we sampled Kolar filtration so that they could conduct a demonstration project using PHA in a system they market themselves for water treatment. This trial led to a commercial agreement and the path to expand the market for PHA more broadly in water treatment applications again demonstrating how initial opportunities can expand as the benefits and features of our unique PHA solutions are understood. Please turn to slide 12. The distribution agreement with Kolar will benefit us in three ways, Kolar will be working to expand the market both building on the use of the product in the existing home aquarium market but importantly we will work to expand to new markets such as systems for freshwater ponds, hatcheries and commercial aqua farming. Kolar will buy bulk material from us and also compound it into the final form as used by customers. We have transitioned our denotification customers over to Kolar and we see the potential for this market to expand based on their development and marketing efforts. My hope what I’ve outlined today gives you a sense of what we are doing to both the markets for our Mirel specialty biopolymers and the establish firm demand for our first commercial scale facility. I would like to acknowledge the energy and resources our customers have committed to these projects, I look forward to sharing more progress on the commercial front in our next call. Joe, back to you.
Joe Shaulson: Thanks, Johan. Please turn to slide 13 and we'll touch on a few financial highlights. Starting with the balance sheet. We used 4.3 million of cash in Q3 2015 and finished the quarter with 17.9 million of cash. We currently have an additional $20 million of availability under our equity facility with Aspire Capital. We previously estimated total 2015 cash usage of approximately $23 million and our results to-date as well as our expectations for the remainder of the year are consistent with that estimate. And continuing operations we reported a net loss of $5.8 million for third quarter 2015 or $0.22 per share representing a $900,000 improvement from a net loss of 6.7 million in third quarter 2014. Product revenue from continuing operations was 209,000 in Q3 2015. We expect to see product revenue growth in the fourth quarter and into 2016 as converted customers scale up and we continue working to bring on new commercial programs. For more details on our financial results please refer to the earnings release we made available earlier today. Please turn to slide 14. As we wrap up the financial discussion I thought I'd add a few thoughts on our agreement with Aspire Capital. Aspire has committed to purchase up to $20 million of Metabolix common stock over the next 30 months. We decide when and how much stock to sell to Aspire. They buy that stock as principal and like other shareholders they decide how much of that stock to keep or sell. Aspire is not allowed to short or hedge our stock. The formulas in the agreement for determining the price of individual sales are based on market prices around the time of each sale. In most cases it's a look back formula. So we will know the price before we decide to sell. There are no restrictions on the use of proceeds. In our most recent financings we've sold shares in a single large transaction. The Aspire agreement is geared to selling shares in a number of smaller transactions over the next 30 months. As such we think it compliments rather than replaces other forms of financing. This is a new approach for us and we are pleased to have the additional financial flexibility in our capital structure. Please turn to slide 15. As you know we’re working to spin out our Crop Science Program. We recently launched Yield10 Bioscience as part of this effort. Similar to our pivot in biopolymers the launch of Yield10 represents a significant pivot for us in Crop Science. This program got its start as the ultimate low cost way to produce PHA for commodity applications, to grow them in plants. The diversion of carbon captured in photosynthesis to PHA production is stressful for the plants and we found ourselves doing considerable work to help the plants improve carbon capture under these stressful conditions. Within Yield10 it's research is now focused on increasing carbon capture and targeting that additional carbon to step change increases in food feed and energy crop yield. We have seen see encouraging early results in the model plant systems we use for our research. We are working to transfer these developments to commercially significant crops where we believe they hold promise for achieving significant improvements in crop yield. This is exciting work and we are reaching out to potential collaborators and investors to secure a dedicated funding for Yield10 to continue developing and commercializing these technologies. Please turn to slide 16. Looking forward our team is working hard to convert customers and build commercial sales. Today we mentioned that we are working with customers in PVC flooring and PLA packaging applications as candidates for conversion near term. We also mentioned our ongoing work with Honeywell in personal care, converting these opportunities and others remains a top priority. We are ramping up pilot production and expect to run our pilot plant at the capacity for 2016. We are working to build the market with a view to commercial scale operations and are actively engaged in efforts to secure our first commercial scale plan to support the build out of our specialties business. We remain focused on the Yield10 spinout and securing dedicated funding for Yield10 to continue its innovative work in crop yield. And of course we will keep working to secure the capital we need to fund our business plan. With that I will wrap up and open the call to question. Operator?
Operator: [Operator Instructions]. It appears we have no audio questions at this time, so Ms. Brum I will turn the call over to you for your additional Q&A.
Lynne Brum: Thank you, Jesse we will now go ahead and address a few questions submitted by shareholders over the last two days we have collected several questions some of them have been addressed in our prepared remarks, the once we will cover now were selected for among the submissions we received. So all [indiscernible] the first question is for you, can you elaborate on the technology and strategy for Yield10?
Joe Shaulson: Sure I will be happy to. We formed Yield10 with the goal of producing step changes in crop yield to address global food security. Not an easy target but a very complex and challenging problem. There's also been a lot of investment in this area by others including many startups over many years so what's unique about our approach? Let's start by turning to slide 18 in the deck. In simple terms there are three general target areas for increasing yield, at the front, increasing carbon fixations we improve photosynthesis. In the middle, optimizing central metabolism. The conversion of fixed carbon to plant building blocks and reducing waste and finally directing more fixed carbon to the seed the part of crop that’s used for food. It looks simple on PowerPoint. It's also easy to get caught up in a specific scientific approach, but it doesn't really matter how's how so long step changes in seed production are achieved. In our first approach we targeted no one metabolic limitations in each of the three areas shown on slide 18, photosynthesis, central metabolism and directing more carbon to seed in crops which like Camelina have the C3 photosynthesis system. C3 crops include Canola, Soyabeans, Wheat, Rice etcetera -- 90% of the food we consume but the yield is only about 20% of the yield of corn which has a C4 photosynthesis system. The limitations in the photosynthetic process in C3 crops compared to C4 crops is well understood and making C3 crops behave more like C4 crops will certainly solve global food security. We've addressed that bottleneck with some success and expect to be in a position to share more information on that in the future. In central metabolism the basic pathways in plants and microbes as you know are very similar and here we leverage knowledge gained from over 30 years' of experience optimizing microbial carbon pathways to address some of the inefficiencies in plants Here we have really pushed the envelope and what has been demonstrated to-date in plants by deploying complex large multi-gene systems. In each of the above cases the objective has been to target the additional carbon to demonstrate an increase in the yield of seed. We use our industrial oil seed Camelina as a robust research block to address each of these three key areas. And we have achieved considerable early success for specific yield traits in our hand. In the second approach targeted at already higher yielding C4 crops we developed the computational process for identifying global transcription factor genes or master switch to opt and regulate a number of gene cascades predicted to result in improvements in photosynthesis, central carbon metabolism and plant biomass yield. Basically there's not much point in fixing more carbon in the front and if it doesn't end up being conducted to the desired and product, more biomass or higher CGO [ph]. The computational approach identifies gene targets which we test using our switch cross platform as a model system for C4 crops. C4 crops include corn, sugarcane, sorghum. This platform has proven to be very selective and the hit rate from genes tested to-date is very high increases on average over 40% in photosynthesis, flow of carbon through central metabolism and increased biomass levels have been shown which is quite compelling. Some of this data was shared in the earlier press release , a slide deck genes corresponding to our lead genes switchgrass have been identified in the major crops species including corn, sugar and sorghum and soyabean and we’re working to translate these results to food crops. So we belief if you turn to slide 19 we believe our research approach is differentiated and it's produced exciting early results in our model crops systems, Camelina and switchgrass the next step is to test these genes in major food crops. We are currently doing this in canola, rice and soyabean as we focus on achieving commercial proof points in major food crops by carrying out multi-site field trials. As we consider value capture for Yield10, there are a number of opportunities and models including elect to commercialize seed lines in some crops and/or partnering licensing with established agricultural industry players. Bottom line, we’re thrilled with the science and the prospects for Yield10 to leverage the investment Metabolix has been made in crop signs to address the global food problem. I look forward to reporting further progress for our technology and identifying partners and funding for Yield10. Lynne, back to Your line is open.
Lynne Brum : Now we will turn to some questions on the biopolymers business, Joe the next question is for you, what effect does AB888 California's ban on plastic microbeads have on the development of PHA microbeads.
Joe Shaulson: Thanks, Lynn. In early 2015 we entered into our technology and commercial alliance with Honeywell for the development of PHA based ingredients for use in cosmetic and personal care applications. The first project we charted under the alliance is focused on replacing traditional plastic microbeads with Metabolix's PHAs. There are a number of drivers for this project, consumer preferences, sustainability initiatives by large brand owners and geo-activism and of course regulations banning traditional plastic microbeads. A patchwork of regulations is emerging on the municipal state and federal level in the U.S. as well as internationally. In California AB888 was signed by the governor in October and essentially bans all plastic microbeads in personal care products effective in 2020. Unlike most other states the California ban does not have a statutory exemption for biodegradable plastic. So let's take a look at this in context. First of all we think our PHAs are an excellent technical fit for this application and AB888 does not change that. It does make the regulatory picture more complex but given the regulatory activity in numerous states and municipalities as well as the potential for both federal and international regulation a complicated regulatory picture was pretty much inevitable. This is one of the reasons I've always maintained that our business strategy could and should not be dependent on regulation for success. Second we should remember that PHA microbeads are one of many functional biodegradation applications in our commercial development portfolio. They are also one of many personal care applications that are the subject of our alliance with Honeywell. As mentioned in our last call we've charted a second project with Honeywell focused on a different personal care application that does not involve a regulatory driver. The regulatory environment around microbeads will inevitably continue to evolve. In the meantime we plan to continue our work with Honeywell on the development and commercialization of Metabolix PHA based ingredients for personal care products including PHA microbeads to replace traditional plastic microbeads.
Lynne Brum : We have another question, if you’ve a customer ready to go with a large volume application how will Metabolix approach managing access to pilot PHA inventory?
Joe Shaulson: We have been working hard to develop our business and match as closely as we can the demand we create with our ability to supply product. This will never be a perfect process but we've been doing it with a bias toward building demand ahead of supply while being transparent with our customers about the availability of product for both market development and commercial development and commercial applications. On the supply side, our recent focus has been increased pilot production of the Mirel Amorphous PHA, we’ve been using this pilot material for market development and as we discussed earlier in the call today we are expecting to run our pilot line a capacity next year and to sell the bulk of what we produce to commercial customers. Today Johan talked about our work in flexible PVC applications and highlighted the work we are doing with customers in PVC flooring. It's important that we have product on hand to support conversion of lead customers in scalable applications like PVC flooring. Customers like these provide an important base for building the business translating our work in an initial commercial application to additional product lines facilities and geographies within our lead customers and also translating across to other customers with similar applications. From the demand side that's how we would expect to move from pilot scale to commercial scale. So it's also important that we maintain a stream of pilot product to support continued commercial development with a view to commercial scale operations. With our expanded pilot capacity the first pieces in place but as we bring on those lead customer -- as we bring on those lead commercial customers and continue broader market development. We see the need for visibility to our first tranche of commercial scale capacity and as mentioned earlier we are accelerating our efforts in this area.
Lynne Brum : Why do you think [indiscernible] capacity is the right size capacity for the next step in manufacturing?
Joe Shaulson: Lynne, we look at this from several different perspectives as we think about the transition to commercial scale. Each phase builds on the prior phase and there's a natural tension between things that drive you to think bigger and things that drive you to think smaller. So ultimately you balance these considerations in developing your plans and that's exactly what we've done in the process of thinking about our first commercial scale capacity. We mentioned in our last call that we think the economic unit of specialty PHA production is in the range of 20 kilotons. So at first glance the basic economics argue for bigger, bigger allows you to serve more customers and applications, to produce more revenue and add capacity bigger is more efficient to operate. But bigger takes longer and cost more to build and below capacity can be inefficient to operate. Bigger also narrows the field of suitable options for leveraging existing fermentation assets and for partnering. Balancing these considerations we think 10 kiloton is about right. It's big enough to give us a decent amount of material for translation to commercial scale. We also think it's big enough to provide the sort of economic returns necessary to support a production partnership. As importantly we think 10 kiloton is small enough to move quickly to leverage existing fermentation assets and to find a capable production partner. Of course we can't take any of this as given and our plans could change, but we think there's enough there to focus our efforts on 10 kilotons for our initial commercial scale capacity.
Lynne Brum: Thank you, Joe. And I'll turn the call back over to you.
Joe Shaulson: All right with that we will wrap up. Thanks to our shareholders for submitting thoughtful questions. We hope everyone found the Q&A useful. I also want to thank everyone at Metabolix without your hard work and dedication the progress we talked about today would not have been possible and thanks as well to our customers and stockholders for your continuing support. I look forward to talking with you again next quarter. Goodnight.
Operator: Ladies and gentlemen this does conclude today's teleconference. You may disconnect your lines of this time and again we thank you for your participation.